Graham Kerr: Good morning, everyone, and thanks for joining us today. On the call with me is our Deputy CEO, Matt Daley; our Chief Financial Officer, Sandy Sibenaler; and our Chief Operating Officer for Southern Africa, Noel Pillay. I'd like to start with safety, where we're seeing improvements in key measures following our sustained effort to improve performance through our global safety improvement program. During the half, we achieved further significant improvement in significant hazard frequency, which demonstrates improved hazard awareness and a more proactive reporting culture. We've also seen positive reductions across our lagging indicators. While the data is encouraging, we're determined to continuously improve our safety performance. Moving to our financial results. I'm pleased to say we have delivered strong financial results for the half, underpinned by our operating performance and higher prices for base and precious metals. Our FY '26 production unit guidance is unchanged across our operated assets off the back of our continued focus on delivering safe and reliable operating performance. This performance enabled us to capture the benefits of the positive market conditions for our key commodities. We've delivered underlying EBITDA of USD 1.1 billion with group operating margin of 28.2% and growth in underlying earnings of USD 435 million. Our balance sheet remains strong with net debt of USD 25 million at the end of the period, enabling us to invest in both high returning growth and deliver returns to our shareholders. Looking ahead, commodity price tailwinds, coupled with planned drawdown of inventories at Mozal is expected to add to the group's cash generation in the second half. Our strong financial performance has translated into high returns for shareholders with today's announcement of a fully franked ordinary dividend of USD 175 million in respect of H1 FY '26 and USD 100 million increase in our USD 2.6 billion capital management program with USD 209 million remaining to be returned to shareholders. We're continuing to work to increase our production of copper, zinc and silver into structurally attractive markets. During the half, we advanced construction of our large-scale long-life Taylor zinc-lead-silver project. And across our broader Hermosa complex, we returned further high-grade copper exploration results from the Peake deposit, which supports the potential for a continuous copper system connecting to Taylor. As part of the scheduled project execution at Taylor, an assessment of project milestones and capital expenditure will be completed in H2 FY '26 and will be informed by the pricing of additional underground and surface infrastructure packages scheduled to be awarded during this period. At Cannington, we announced today a 28% increase in the underground ore reserve while also targeting further potential growth through both underground and open pit development options. Sierra Gorda progressed options to grow future copper production. We have defined an exploration target at Catabela Northeast adjacent to the Catabela pit, ranging from $1.1 billion to $2.9 billion -- billion tonnes, sorry, highlighting the potential for future mine life extension. In addition, the feasibility study for Sierra Gorda's fourth grinding line is nearing completion with an independent review of the feasibility study to be completed by the joint venture partners to support a potential joint final investment decision in mid-calendar year 2026. We're also pursuing further growth in copper and zinc through our Ambler Metals Joint Venture in Alaska. In closing, I'd like to thank our teams around the world for their work to deliver these results. Our operations are performing to plan, capturing the benefits of higher commodity prices. Our balance sheet remains strong, and our performance is translating to increased returns for our shareholders. Looking ahead, we're focused on continuing our positive momentum into the second half of the year and delivering our growth projects in base metals. Thank you. I'm now happy to take questions.
Operator: Your first question comes from Izak Rossouw from Barclays.
Ian Rossouw: Just a follow-up on what you were saying in the previous call, Graham, around Sierra Gorda. Just wanted to better understand some of the changes you've made there around management, what's driven that? And I guess, obviously, there's been some delay on the engineering and sort of approvals of the fourth grinding line. So just wanted to get a bit more of a background on that.
Graham Kerr: Yes. Thanks, Ian, and I appreciate the question. Look, Sierra Gorda for us, obviously, is an asset that we think gives us the right exposure to copper. It was one that we believe when we acquired it was undervalued in terms of its current performance, but also its future options. And those options include the fourth grinding line, that oxide material sitting on the surface, but also exploration potential. So it's great to see the work that's been done to sort of get towards Catabela Northeast, and I think there's a lot more work to be done on that. And obviously, the oxide facility is something we'll have a look at once we settle on the fourth grinding line. The fourth grinding line itself had a number of issues we had to resolve around some work around additional thickness and bringing the thickness up to scrap where we can get a solid state of about 62% to be able to get to that next level of licensing to basically expand the facility. But if I was going to be honest, look, we -- both ourselves and Sierra Gorda probably weren't quite happy with the project Directors' performance. And as a consequence, that probably reflected on the person who is leading the Sierra Gorda business at the same time. So we agreed to make a change about halfway through last calendar year. And as part of that, we brought in a new asset leader as well as a new project director to sort of move into that fourth grinding line role. And obviously, both of them have bought a little bit of a fresh perspective on the project, certainly got it moving in the right direction now, which we're far more comfortable with. Now it's the case of finishing the engineering, having an independent review and then going back to both partners to basically approve it going forward. I wouldn't say materially, there's been a major change in technical capabilities or project execution. It's more been about the quality of the people leading the project, which I think were in much better shape today, plus some of those conditions precedent around the solids, et cetera, that we had to do.
Ian Rossouw: Okay. And then just a follow-up on Hermosa around the awarding of some of the surface contracts. You said you're going to do a few more of the underground and surface in the second half. How are we tracking so far against budgets and time lines? You'll do a reassessment in the second half, but just wanted to get a sense of how are we tracking at this stage?
Graham Kerr: Yes. So the second half, we always plan to sort of do this review based on when we knew the packages of work were coming in. So to date, if you look at the total spend to date, you're talking about just over $1 billion, and that's about 48% of the schedule we had in the budget. What has worked really well for us has been the first 2 surface packages have come in at the price that we would have expected as part of the estimate. What's also worked well is things like the mobile equipment at the same time. I think the shafts themselves, we just finished the first piece of lateral through development on the 3680 level for the bench shaft, and that was executed slightly ahead of budget and on cost. The shafts, if you look at the bench shaft, that's about 56% complete, so 459 meters of 824. Now that we've finished that first underground mining at 3680 level, we'll start resuming the sink in quarter 3 FY '26. The bench shaft has had some challenges along the way in terms of steel supply, but probably more importantly, a little bit of water at the start, even though water is less than what we expected and some underperformance by Redpath on their side. Main shaft, we're at about 370 meters versus 898 meters. So it's about 41% complete. And the main shaft has certainly taken some valuable lessons from the bench shaft and continues to make much better progress. In saying that when we look at the schedule to date and the trend lines, we don't see any major movements in dates and production -- expected production and capital costs. But again, I'm always saying until we get to the bottom of those shafts because both of those contracts will be time and materials, I'm always nervous. And as we get in the second half of this financial year, we expect to have come in the next 2 packages of surface construction work. We will also have the quote in for basically the underground lateral development. And by the time we start our review, it means probably 80% of the capital would have been committed which sort of puts you in a much better position to do a complete rebaseline. Not certainly raising alarm bells at the moment. It's a normal part of the process. The one unknown besides the shaft for us is also around the tariffs. To date, we haven't seen any material impacts. But in saying that it just bounces around from day to day, never quite knowing where it lands, but that's the environment we're operating in for a period of time. What I would say, what is going really well, all the foundations work on the process plant, the cable trays are all in. And at the same time, our approval, our draft EIS came out in the fourth quarter of our financial year '25. We expect to have the final EIS out in this half. This is our second half of financial year '26. And we're still expecting to have a record of decision, so full federal permits for Taylor, Clark and Peake in the first half of FY '27. So that's been a real great process for us.
Ian Rossouw: Great. And then maybe just lastly on the labor side. Obviously, you've previously said where the project is located, there isn't much competition for sort of skilled labor. Is that still the case? Is that still been okay from, I guess, competing against some of the other projects in the north?
Graham Kerr: Yes. So I think -- the way I think about it at the moment, we have seen very low rates of turnover in our professional people. We still managed to attract good quality people as the project grows and we start thinking about commissioning and operating and getting prepared for that. People has not been an issue for us. And while there's a lot of projects in the U.S. talked about, there's very few that are actually in the midst of execution like we are. I also think Tucson is not a bad place to base yourself. And the project itself has certainly got a lot of momentum in the U.S., which I think is super helpful compared to other projects that have self started. And I think most people in the industry over there appreciate that we're going to get a federal approval within 4 years, even though we don't need it technically to 8 years into production.
Ian Rossouw: Okay. And then maybe just on Brazil aluminum. What were sort of the underlying issues around the performance there? Obviously, it's not something -- an asset you're operating, but just wanted to get a bit more color there.
Graham Kerr: Yes. Look, from outside, it's incredibly frustrating because it has been a long, painful drawn-out process, and we've got our third piece of, if you like, revised guidance from Alcoa over the journey of the restart. The most recent event is they experienced some instability in December last year, where they had an unplanned, if you like, outage of 80 pots that need to be taken offline. So that means at the moment, we're back to about 565 pots online versus a capacity of 710, which is about an 80% capacity. Alcoa have deployed a set of specialist people from their operating center of excellence, and they've worked from down there. They provided some more supervision. They've revised the plans. Disappointing to see now the production guidance for '26 has been guided down to 135,000 tonnes. at 140,000 tonnes in FY '27 versus the capacity of 179,000. These are obviously South32 share. We have offered to provide some assistance if we can, particularly as you think about Mozal, Portuguese speaking, a very well-run smelter. It's up to [indiscernible] want to take it on. They certainly are the operator. They certainly understand that we're frustrated and disappointed in this performance.
Operator: [Operator Instructions] Your next question comes from Myles Allsop from UBS.
Myles Allsop: Maybe -- obviously, it looks pretty clear that with Mozal, it's beyond the point of doing a U-turn and it's going on care and maintenance. I mean what is the estimated cost of restarting it just to give us a sense as and when we come through. Also just on Hillside as well, obviously, there's a bit of a kind of clock ticking towards the power contract renewal. You've talked about decarbonizing Hillside in the past. And if you can't get a green power source, then it may not be part of the portfolio. Could you just give us a quick update on the Hillside side as well?
Graham Kerr: Yes. So maybe start with the basics around Mozal just for people on the call. We use about 940 megawatts an hour, 940 megawatts in terms of capacity of power. The smelter is on 24/7, 365 days. So it's a perfect load for utility. We have generally drawn all our power from the Cahora Bassa, which is owned by the Mozambique government by an entity called HCB. Around this time last year, they started to tell us that after 2 years of severe drought that they were lacking the ability to provide Mozal's power needs. That would be at least probably 2 years for the basin to recharge and then they have some maintenance that they need to do, which means we're probably not going to have full power somewhere between the next 2 to 4 years, a little bit unknown. The challenge for that is you need power. It's 1/3 of your cost base, no power, no aluminum smelter. We've been trying to engage to actually get some power off of Eskom. There is no real incentive for Eskom to do that. If you look globally today outside of China, less than 1% of Western smelters have a power contract in excess of 50. The current regulatory environment at the moment and the only formal offer we've seen from Eskom is for us to pay megaflex, which is closer to USD 100 megawatt hour, which makes it totally untenable. So that does mean we have been talking about this for a while about going into shutdown. We were hoping, obviously, that we would have maybe some breakthrough by Eskom. That gives a big impact for our people, roughly 4,000 to 5,000 people that depend on this in terms of contractors, our people and another knock-on impact of about 20,000. People are impacted. It's about 1 in 3 jobs in Maputo. It's probably about 3.9% of GDP. So it will be a significant loss of the government of Mozambique and the Mozambique's economy. So we are planning to go into care and maintenance even if you got me a power contract today that was affordable, it made sense. We have run out of pitch and coke over the next couple of weeks and the lead time on those items are somewhere between 5 to 8 weeks, which you're never going to get it in time to keep the pots running when the power contract runs out. We made the decision in December to stop buying materials because we did not see a breakthrough coming, if you like, on the power contract, and hence, we didn't want to keep pouring money out the door that you were never getting back. Now to actually keep the smelter in care and maintenance, you're probably talking about an ongoing cost of about $5 million a year, 100% terms. The closure and rehab estimate is about $119 million. We wouldn't be looking -- obviously work closely with the government of Mozambique. We wouldn't be looking to go into full closure mode until the HCB power contract and future was understood because once they do come back online, they've got a lot of power and not a lot of offtakers. So this could become viable going forward. The challenge I would say is as you've seen with Brazil, restarting a smelter over a number of years is very difficult. It's not like a mine. So that will be the challenge. Now when it comes to Hillside, Hillside is powered by Eskom. Today, we're allocated pretty much coal-fired based on the grid factor. The reality is Eskom every single week and year is making progress on renewables and nuclear coming into their network. We are working closely with them over time to get a more balanced solution. What we do have is time in that space. We have time because the current power contract doesn't expire until 2031. From a regulatory environment in South Africa, unlike exporting power to Mozambique, there is what's called a heavy industrial tariff that allows Eskom to be more flexible, if you like, on power, considering what impact that has on the country, but also their own performance. The other thing is we sell roughly 30% of our aluminum from Hillside downstream, which goes to people like Hulamin and other, if you like, suppliers who make products out of it. There's a hell of a lot more jobs dependent on this in South Africa and particularly in an area that's sensitive to the ANC around KZN. So we have a lot more confidence in how Hillside is going. And I think certainly, the interactions with Eskom have given us no reason to doubt that they see Hillside is an important part of the equation for them going forward.
Myles Allsop: That's helpful. Just maybe in terms of the transition with Matt, can you give us a kind of a quick update on the timing when you'll be handing over the keys? And what advice are you giving that over the next kind of sort of 3, 6 months?
Graham Kerr: Yes. Look, absolutely. So Matt joined us last week for his first week, and I'll get him to say a couple of words in a second. Matt had his first week with us in South Africa, where we had a Board meeting for most of the week, he visited HMM. Obviously, this week, he's been in our head office and also going through results presentation and he's on this call. He'll be coming on the road with me for -- on the East Coast to meet all our investors, and he'll be doing the U.S. and other places around the world. And in between that and over the next couple of months, he'll be visiting all the operations. So Matt now has accountability for all the operations reporting to him, and that gives him a chance to understand our business very quickly. And the reality from my side, my #1 objective is to set Matt up for success. So when he feels comfortable and he's ready to go, well, he showed a run going forward. I guess the piece of advice I'd always give him is the key, I think, for our assets because of the geographic spread, because of the age and some of the complexity. Yes the focus there is on making sure that, a, we run our business safely and reliable. The base business needs to deliver on its safety production costs and cash flow commitments to fund the growth of the business. And the next piece for me is delivering on our growth projects because once you come out the other side of Hermosa and Sierra Gorda, you'll be very longed in cash. You've also got some other options in the growth pipeline that I think will be super exciting like Ambler, Catabela Northeast, Clark and some other exploration. But maybe, Matt, a good chance for you to say a couple of words.
Matthew Daley: Yes. Thanks, Graham, and nice to meet everyone. Looking forward to getting to see some of you in the coming weeks as I travel with Graham. Listen, early days for me, definitely only week #2, but focus at the moment is getting a really good understanding of the business. So lots of listening and learning, visiting the assets and talking to people across the company. What stands out thus far is you've got a really great quality of assets in the portfolio, generating cash, lots of optionality and obviously, the organic growth projects that Graham has mentioned. And I think the way the team thinks about investment decisions with a real focus on value has just been really, really pleasing. Opportunity for me going forward is just to build off that really strong base, right? So to focus on improving operational performance, managing risk and allocating capital really well. So yes, excited to be joining the team, and thanks very much, Graham.
Graham Kerr: Thanks, Matt. Does that help with questions?
Myles Allsop: Yes. No, that's very helpful. Maybe one last one because we're getting asked by investors as well around the potential for consolidation in Alumina in Western Australia. And do you think there is a lot of value that can be created? Or do you feel that you're in a relatively much stronger position given where you are with the permitting?
Graham Kerr: Look, I think, obviously, we're in a great position in terms of having the approvals for our next series of mine developments. Alcoa was going through that process, which was a long painful process. And obviously, they have different landholdings than we do, some water issues to deal with that we don't. So they're better to comment on that. But certainly, we're very pleased to be past that piece and actually executing on our projects going forward, and they're actually going well. Look, I think in the Southwest, there's been a long history of engagement around things like land swaps, technology exchange. Do I think potentially there is more synergies to be had there? Look, I think that is a conversation absolutely worth revisiting over time. But probably like we were very focused on getting our next approvals. I'm sure Alcoa are very focused on that in the short term.
Operator: Your next question comes from Alexander Robert Pearce from BMO.
Alexander Pearce: Graham, you've previously highlighted the potential upside from the Sierra Gorda oxide project. Have you got any update on where this project stands at the minute? And has the recent improvement in copper prices made any difference to kind of bringing that study forward?
Graham Kerr: Yes. Look, I mean, we probably -- if you think about the order priority, I guess we're sort of focused on the fourth grinding line first because that 20% production throughput increase, I think, is important, lower cost, more copper, et cetera. Catabela Northeast is to understand how attractive could the fourth grinding line to be to feed it. I think the oxide material, we've still got some work to be done on that. There's some early thinking done on it, but I guess we're trying to focus our best people on the other 2 opportunities first. But if you think about that opportunity, that oxide material, we got about 110 million tonnes stockpile there, and it's probably got a grade of roughly about 0.38. I think what we're looking for at the moment is we're completing a feasibility study to understand what we could do around lost low-cost heap leaching. And I think at the same time, there's a number of other operators who are close by that potentially have some capacity. So the key for us is to understand what would it cost to do it ourselves versus what could we do in terms of toll treating it through someone else's plant and what are we willing to pay. And hopefully, we have a greater sense of that towards the back end of this calendar year.
Operator: [Operator Instructions] You do have a follow-up question from Ian Rossouw from Barclays.
Ian Rossouw: Just a follow-up on that, Graham, around the Sierra Gorda, Spence and some of the other operations in the area. I mean, is there an opportunity for more sort of operational, I guess, synergies? And I guess, as you say, using some of the other capacity, but sort of a more regional consolidation. Just wanted to get your thoughts on that.
Graham Kerr: Look, in all these things, there's 3 obviously mines that are super close within the stone throw of each other. If you had your time again, you'd sit back and say, why didn't they sort of do one major piece of infrastructure and then actually use the different products to actually feed that mill would have made the best economic sense. Obviously, that decision was made a long time ago by different people who don't sit in the chairs now. I do think longer term or even medium term from our perspective, there is opportunities to explore synergies between those existing operations and one would clearly be the oxide material at Spence. But also as we understand Catabela Northeast and how big that could be, that gets closer and closer towards Spence. So I think there is a discussion to be had there when the time is right. The challenge in all these things is when you have more and more players involved, it's a bit harder to sort of get, if you like, to a position where everyone feels comfortable.
Operator: Your next question comes from Tim Clark from SBG Securities.
J. Clark: Congrats on the results. I'm just interested in just a little bit more color on Cannington. You've had a nice reserve increase, which is positive. And then there was a bit of commentary around underground resources and seeking open cost and underground opportunities. There's obviously been quite a big move in the silver price. And in the past, you've spoken about having a very conservative silver price sort of forecast in the mine plan. I wonder if you could just give us a little bit more color on how you're thinking about Cannington and how you see it evolving over the next year or so?
Graham Kerr: Yes. Look, I'd start with a couple of points that I think are worth sort of drawing out and some of these were including in our slide presentation today. And the first one is when you look at Slide 11 in our pack, we talked about the zinc-lead-silver margin, which obviously today is Cannington despite the fact that Cannington is almost, what, 28 and a bit years old, and it tells you how old I am because I was a graduate when we were actually building that and I was working there. We're still making margins between the last 3-ish years, 46% to 53%. So it is a high-value business. You've already got the capital infrastructure there. You've got the workforce in place. So anything we can do to extend the life of Cannington I think, is super important and a low-cost option and a return for our shareholders. We would be fair to say probably 18 months ago, I was probably less optimistic about the team's ability to extend the life. This isn't driven by what price in terms of what's happened with the silver price, and we'll come back to the silver price in a second. This has probably been more around the discovery of bit areas of new, if you like, sources of material we can bring to the underground. It does require us to spend a little bit of money in the short term. So over '27 and '28, we will spend roughly USD 65 million to USD 80 million, and that's on some ventilation electrical shaft infrastructure, but that does potentially allow us to increase even further the underground. So what we did announce today was about a 28% increase in the Ore Reserve from 3 million tonnes to 13 million tonnes. And that adds about 2 years life, if you like, to the underground. We think there's more work to be done on that could potentially open up more ore to be added and extend the life of the underground. And one of the slides I did love in the presentation that we shared with people today, again, when you go back to the age of Cannington and you think about when we actually started our journey some of the short life assets from day 1, everyone was asking, well, how long is Cannington going to last for because our Ore Reserve in FY '15 was only 21 million tonnes. We've already mined out 26 million over the time frame to today. We've added back in another 17 million, and we've got 13 left to go. So that sort of gives you a sense of the work that the team has done. And the underground resource itself has about 45 million tonnes. So the job of the team is going to be how much can we extend the life out. We have also done a bit more work on the open pit to have understood the potential of the underground. That allows us to redesign the pit in a different way and probably focus, if you like, on a more value-add way to take it forward as well as we've done some work on some of the remnant old low-grade stockpiles that existed on surface that have been historically difficult to process through the concentrator and the team have found a way through that they can manage that far better. So I think that what that does mean is Cannington has a lot of optionality, if you like, on the base production and how we can continue running it. That's before you consider the silver price. So we would have probably been using a silver price south of $40 when we did all this work. The question is how long does the silver price last for. But certainly, we would expect to complete more work on this over the next, if you like, 12 months and be in a much greater position to know what the future looks like at Cannington, but it certainly is looking optimistic.
J. Clark: Very useful. And thank you very much for all of your support over time if we don't get to catch up with you again. It's been much appreciated.
Operator: There are no further questions at this time. I'll now hand back to Mr. Kerr for closing remarks.
Graham Kerr: Thank you, and thank you, everyone, for taking the time today. I'm sure you're all very busy. I would like to take the opportunity to thank our teams again around the world for the hard work they've done to deliver these results. I think we are running our operations to plan at the moment. We are, therefore, capturing the benefits of higher commodity prices. As always, we pride ourselves on our capital decisions and our balance sheet remains strong. Our strong performance is leading to increased return for our shareholders as our model is designed to. And looking ahead, if you look at some of the spot prices versus the first half, there's more upside. We haven't changed our cost or our production guidance. And at the same time, we've got a series of growth projects in our base metals business to continue to reshape our portfolio. But thanks, everyone, for your time today, and have a safe day.